Operator: Good day, and welcome to the AZZ Third Quarter Fiscal 2025 Conference Call. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Sandy Martin, of Three Part Advisors. Please go ahead.
Sandra Martin: Thank you, operator. Good morning, and thank you for joining us today to review AZZ's financial results for the fiscal 2025 third quarter, which ended November 30, 2024. Joining the call today are Tom Ferguson, President and Chief Executive Officer; Jason Crawford, Chief Financial Officer; and David Nark, Senior Vice President of Marketing, Communications and Investor Relations Officer. After today's prepared remarks, we will open the call for questions. Please note the live webcast for today's call can be found at www.azz.com/investor- events. Before we begin, I want to remind everyone that our discussion today will include forward-looking statements made under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. By their nature, forward-looking statements are uncertain and outside of the company's control. Except for actual results, our comments containing forward-looking statements may involve risks and uncertainties, some of which are detailed from time to time in documents filed by AZZ with the Securities and Exchange Commission, including the annual report on Form 10-K for the fiscal year. These statements are not guarantees of future performance. Therefore, undue reliance should not be placed upon them. Actual results could differ materially from these expectations. In addition, today's call will discuss non-GAAP financial measures. Non-GAAP financial measures should be considered supplemental to not a substitute for GAAP measures. We refer to the reconciliation from GAAP to non-GAAP measures in today's earnings press release. I would now like to turn the call over to Tom Ferguson.
Thomas Ferguson: Good morning.  Thank you for joining us and happy new year to you all. Today, I will discuss AZZ's third quarter and cover our outlook for the rest of the year. Jason Crawford will review our financial results, and David Nark will provide an industry update on sales to our end markets. Then we'll open up the call for questions. The third quarter's results exceeded our expectations versus how we were feeling as we had entered the quarter. I give our teams tremendous credit for their focus, discipline and great execution in both segments. We are pleased with both segment teams' ability to sustain margins while generating solid sales growth. Fiscal 2025 sales through the first 9 months have been driven mainly by construction projects related to highways, new bridge construction and infrastructure renovations throughout the U.S. In addition, spending on data centers, reshoring and manufacturing, clean energy initiatives and power transitions accelerated in calendar 2024, resulting in positive impacts for our business. Our consolidated third quarter sales of $404 million increased by 5.8% versus the prior year's quarter, and this was all organic growth. The Metal Coatings segment increased overall sales by 3.3%, but grew galvanizing at 5.2% when compared to the prior year's third quarter, while the Precoat Metals segment grew sales by 7.6%. Sales momentum in the third quarter was almost entirely based on volume with higher tonnage processed in both fabricated steel and coal coating. Metal Coatings delivered EBITDA margin of 31.5%, again exceeding the prior year and our targeted range of 25% to 30%, primarily due to higher volume and improved zinc productivity. Precoat Metals EBITDA margin of 19.1% also exceeded the prior year and demonstrated strength primarily due to higher volume, more profitable mix of business and improved operational performance. In addition, strong EBITDA resulted in cash flow from operations of $186 million for the first 9 months of the fiscal year, which allowed us to make substantial debt repayments of $80 million. Jason will discuss this in more detail, but the strong free cash flow this year allowed us to further deleverage our balance sheet while investing in operations for the few. We continue to hold leading market positions in our Galvanized Metal Coatings and Coil Coating Precoat segments. As a specialized Metal Coatings provider, our strong and enduring competitive moat gives us advantage through trusted repeated customer relationships, economies of scale and innovative customer-centric technology solutions. Our reputation for reliability and excellence in customer service further enhances our value proposition. We are committed to both organic growth and strategic bolt-on acquisitions to maintain and grow our leadership positions. Importantly, we do not own the steel process through our facilities, so we avoid exposure to commodity price risk associated with it. Operating as a highly profitable [indiscernible] model, we will continue to strengthen our significant economic moat in Metal Coatings and Precoat Metals. We plan to continue investing in AZZ's proprietary customer-facing technologies that are utilized at all of our facilities. Our innovative technology platform provide paperless real-time access and improved service transparency positioning our company as a highly differentiated Metal Coatings provider and strategic partner to customers throughout North America. Jason will discuss our disciplined approach to capital deployment in a moment. But first, I want to underscore that we continue to pay down debt and return capital to shareholders by consistently paying quarterly cash dividends. As noted previously, we expect to reduce our debt by over $100 million for the fiscal year ending in February. As I mentioned earlier, for the first 9 months of our fiscal year, our growth has been 100% organic compared to the prior year. We continue to work the M&A pipeline by carefully evaluating potential acquisition targets to add inorganic growth in each segment. We'll remain patient while considering the best timing target valuations in AZZ's optimal leverage. Finally, in pursuit of our high ROI capital allocation strategy, we have invested in a durable cellular trend supporting the beverage industry's plastic to aluminum conversions. We're finalizing construction milestones of our new aluminum coatings facility in Washington, Missouri. We are currently doing equipment certifications and testing and expect to ramp up the new facility during the first quarter, which begins in March 2025. We are excited about our spring launch of this new facility, particularly as this new facility also demonstrates AZZ's commitment to support a greener future for durations to come. With that, I'll turn it over to Jason.
Jason Crawford: Thank you, Tom, and good morning. For the third quarter, we reported sales of $403.7 million, an increase of 5.8% over the prior year's quarter. By segment, our Metal Coating sales increased 3.3% within which galvanizing increased 5.2%, and our Precoat Metals segment increased 7.6%. The third quarter's gross profit was [ $67.8 ] million or 24.2% of sales an increase of 110 basis points from 23.1% of sales in the prior year quarter. Gross margins improved in both segments, supported by higher sales and volumes and improved zinc productivity in the Metal Coatings segment and higher sales and improved operational performance in the Precoat Metal segment. In the third quarter, selling, general and administrative expenses were $39.2 million or 9.7% of sales compared to $35.3 million or 9.3% of sales in the prior year quarter. The SG&A increase in the quarter was due to one-off employee retirement costs severance expenses and legal accruals for cases that were settled during the third quarter. Operational income improved to $58.5 million or 14.5% of sales compared to $52.8 million or 13.8% of sales in the last year's third quarter. Interest expense for the third quarter was $19.2 million compared to $25.9 million in the prior year. The decrease is due to consistently paying down debt and our lower weighted average interest rates from various debt prices and recent Fed interest rate reductions. Equity and earnings of unconsolidated subsidiaries for the third quarter was $7.2 million compared to $8.7 million for the same quarter last year. These equity and earnings are from our 40% minority ownership interest in the AVAIL JV. Current quarter income tax expense was $12.1 million, reflecting an effective tax rate of 26.5% compared to 24.6% in the prior year quarter. The increase in the effective rate was primarily attributable to higher nondeductible items related to meals and entertainment and lower impact from our R&D tax credits. Reported net income from the third quarter was $33.6 million compared to $26.9 million for the prior year quarter. On an adjusted basis, Q3 adjusted net income was $41.9 million compared to $34.8 million, an increase of 20.5% from the prior year. Third quarter adjusted EBITDA was $90.7 million or 22.5% of sales, which compares favorably to $86.4 million or 22.6% of sales in the prior year. Turning to our financial position and balance sheet. As Tom mentioned, we generated significant cash flows from operations of $185.6 million, exceeding last year's $180.9 million. After funding the first 9 months of the company's capital expenditures of $85.9 million, our year-to-date free cash flow was $99.7 million. Year-to-date capital expenditures include spend of $46.8 million on our new coil potent facility in Washington, Missouri, with most of the remaining spend of this project of approximately $11.2 million expected to be completed during the fourth quarter. As Tom noted, we have a disciplined capital allocation strategy that consists of investing in the business for growth, paying down debt, returning cash to our shareholders through dividends and share buybacks and evaluating potential bolt-on acquisitions. During the third quarter, which ended November 30, we reduced debt by $35 million and total debt repayments to exceed $100 million for the full year. Our current trailing 12-month debt to adjusted EBITDA is 2.6x, which compares favorably to our leverage of 3.1x in the third quarter of last year. Recall that in late September, we repriced our Term Loan B down to SOFR plus 2.5% and with the Fed reductions in the quarter and another reduction announced in December, we expect these moves to benefit our bottom line in the fourth quarter of this fiscal year. Our current interest rate swap agreement fixes our variable rate debt for a notional portion through September 30, 2025, and we do not have any debt maturities until 2027. Finally, we paid cash dividends of $5.1 million to common shareholders in the third quarter. This year, we have strengthened the balance sheet through multiple levers with investments in our growth, reductions in debt and working capital and improvements to our capital structure with the full redemption of the company's Series A preferred stock by using the proceeds from the secondary equity offering that was completed in May of this year. With that, I'd like to turn the call over to David Nark.
David Nark: Thank you, Jason.  Good morning, everyone. The sales momentum for the third quarter trended positive in nearly all of our reported end markets compared to the same quarter in the previous year. Sales within construction, industrial and electrical utility grew over the prior year, and we saw strength in small but growing categories such as containers, HVAC and recreation over the same quarter a year ago. We attribute this organic growth to a continuation of market share gains and signs that we are in early innings of a multiyear transformative period for infrastructure spending with transmission and distribution as well as renewables growing versus the prior year same quarter. As we have communicated all year, we remain optimistic about public and private sector spending. Looking ahead, we believe infrastructure outlays will be elevated for years to come. The reshoring of manufacturing and energy transitions, investments in AI and the requirements for affordable housing will spur the need for more data centers, housing and medical facilities to support the growing population. These investments are based on connecting larger, sprawling communities which creates an ongoing necessity for further spending in our nation's infrastructure networks, particularly bridge and highway as well as electrical T&D. In addition, we know that pre-painted aluminum and steel will play an essential role in many projects. as well as a conversion from plastics to aluminum in the food and beverage industries, which we believe is a critical long tail secular trend. With that, I'd now like to turn it back over to Tom.
Thomas Ferguson: Thanks, David.  We remain bullish about our near-, medium- and long-term business prospects. Although I am incredibly pleased with the team's progress and accomplishments this year, we are also deeply involved in planning and setting new milestones for fiscal year 2026. As Jason and David shared, business momentum continued through the year's first 9 months. We expect the fourth quarter to be similar to last year's Q4, which is typically slower as construction is impacted in the winter months. Concerning our annual guidance, we have narrowed our sales range to $1.55 billion to $1.6 billion and kept the midpoint unchanged. We also narrowed and raised our midpoint for EBITDA and EPS expectations to reflect the strength in our first 9-month period with lower interest costs for the balance of this fiscal year. We narrowed our adjusted EBITDA range to $340 million to $360 million and increased adjusted EPS guidance to $5 to $5.30. Our overall guidance assumptions have not changed, which excludes any federal regulatory changes that may emerge. Finally, capital expenditures for the current fiscal year are expected to remain unchanged at $100 million to $120 million and embedded in this total is the new plant's final CapEx. The equity and earnings from our minority interest in the AVAIL joint venture continues to be within the $15 million to $18 million range and debt paydowns are expected to exceed $100 million. We continue to focus on paying down debt while actively evaluating potential acquisitions with a growing pipeline. We remain enthusiastic about business prospects and are confident we will finish fiscal year 2025 well. In a few weeks, we plan to provide fiscal year 2026 guidance for the fiscal year that begins March 1. I want to thank our hard-working and talented team for executing AZZ's vision of unwavering customer service and growth and working on continuous improvements every single day. We are highly focused on creating long-term value through certain leadership, execution of our strategy and sustainable solutions. We plan to continue scaling our business through organic and inorganic growth, generating significant cash flow and leveraging our differentiated value proposition to customers. With that, operator, I would like to open up the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. The first question comes from Matthew Krueger with Baird.
Matthew Krueger: Just to kick things off, maybe could you talk a bit about what you're seeing from a big picture perspective as it relates to end market demand. If you could comment on maybe what you're seeing from a market growth perspective versus what AZZ is generating from a growth angle, that would be terrific to.  I'll pause there.
Thomas Ferguson: Yes, a couple of things, and then I'll let David opine as well. But I think we've seen the markets kind of choppy. So fortunately, we serve a real diverse set of markets in both segments. So but I think we benefited from our emphasis on providing outstanding customer service, focus on innovation. So taking some market share, getting customers to convert to prepaint, getting customers to convert to hot dip galvanizing from whatever they're using. So I feel like we're -- we've been able to perform, particularly in the third quarter ahead of the markets. But generally, the markets are okay. I think there's some hesitation. We've seen projects pending, what's going to happen with tariffs, steel availability, things like that. I don't believe those are significant hurdles going forward as we get into 2025 but I do think it's created a little bit of choppiness in decision-making on some projects. And that's kind of generally across markets. And David may want to add on some specifics.
David Nark: Yes.  Thanks, Tom.  Matt, what I would just add is as you look at our reportable end markets, as I mentioned on the call, nearly RV end market was up over the same quarter prior year. We continue to see some real bright spots in markets like construction, industrial and utilities, particularly transmission and distribution, where we know there's literally thousands of miles of new projects that have been announced and awarded and have yet to come out of the ground. So I think that tracks pretty well when you take a look at some of the information related from -- and release from the U.S. Census Bureau, and you look at U.S. construction spending and particularly either nonbuilding or building, there are some bright spots in there in areas like infrastructure, around water as well as things like data centers, public safety and manufacturing spend. So I would agree with Tom, we feel like we definitely grew faster than the market in Q3, and we're optimistically looking forward to Q4 and the year ahead.
Matthew Krueger: Great.  That's super helpful. And then the third quarter was a nice sequential acceleration from the second quarter. Were there any unique benefits to third quarter growth rate that we should think about from a weather perspective, any demand pushed into the third quarter? Or were there any other one-off factors that we should consider as we model out to the fourth quarter this year and kind of sequentially into 2026?
Thomas Ferguson: Yes.  Actually that, there's two sides to this. So we had talked about how our galvanizing grew faster than the overall Metal Coatings. And part of the impact on that coming out of the hurricane, we've got a powder coating facility in [indiscernible] that was really negatively impacted. So our Surface Technologies portion of the business, which isn't large, but it can move the needle a little bit in the quarter, as you saw by the 3.3% overall growth versus 5.2% for galvanizing. So there's where the hurricane had a negative impact. I think had a little bit of a positive impact on the galvanizing side just up in South Carolina. We didn't see significant benefit out of that. I think there's still as you can read and see on the news in the media, there's still a lot of -- it's going through a lot of turmoil in Western North Carolina. So I don't feel we benefited that much from hurricane at all other, like I mentioned, in the 2 sites. And then generally, that was about -- and of course, now we're in the winter storms, but that's what we expect in the fourth quarter. So impacts on construction. So for Q3, yes, not much one-off. It was basically good blocking and tackling, take care customers, converting opportunities and outservicing our competitors.
Matthew Krueger: Great.  That's helpful.  And then just lastly for me. I know you're going to be issuing formal guidance in a couple of weeks here. But as we model out to the next year, are there any high-level variances that we should start to think about for FY '26 versus FY '25 across the business? Anything like volume interest expense, the Missouri plant opening, what contribution that could have? Just big picture thoughts like that versus kind of getting into specific guidance would be helpful.
Thomas Ferguson: Yes.  I'll mention a couple of things, and Jason can talk about interest rates and some of the things we may continue to do on the debt front. But we do look to get an acquisition or 2 done, hopefully over the next few months and kind of get back into that routine where we're bolting things on as part of our normal course of expansion in certain geographies and places and growing the business through those [indiscernible] and then hopefully improving their margins to our fleet level. So we're excited about that. We've gotten off the acquisition trail to pay down debt, but we feel very good about our leverage as we're trending down towards 2x, which I think is a level that once we get to that, we -- all options are back on the table in terms of potentially increasing dividends, stock buybacks and of course, acquisitions. So but in terms of other things, volumes, we see kind of post the Trump administration taken over I think that settles things down in terms of what actions are going to be taken for tariffs. And we don't see tariffs having a big impact on us as we get into the year. There's kind of a mixed bag on the Precoat side and on the galvanizing side or Metal Coatings side, it's a nonfactor as long as steel is available for projects. And Jason, you might want to add anything in for interest and what you're doing on the financing front.
Jason Crawford: Yes.  I mean, certainly, from an interest point of view, I think we've made the majority of our moves this fiscal year. So really, what you'll see next year is just the annualization impact of that. I don't see any major step functions. Obviously, what happens out there in the external world from a Fed point of view will impact us. But we have our underlying swap that kind of nullifies that through probably the first 2 quarters, and then we'll look at extending that. So really not any step functions as you think about our cash flow then. Certainly, in the last 2 years, we've heavily invested in the new facility in Washington, and we'll see that dropping off and get back to a more normalized CapEx point of view. So that's only through as we start to think about next year, that I would say that having any impact.
Thomas Ferguson: And I'd come back on the new facility start-up. We'll give some more color on that when we give guidance. But as you would expect, it's a big facility. And while everything is on schedule and things are testing out well and working well with the partner on getting test samples and certifications moving, it will be a slow ramp-up in the first half of the year and then full production as we get into the back half of the year and you start to get it to closer to the full run rate effect. So most of the effect for the new facility, you really expect to come later in fiscal 2026. But like I said, we'll give more color on that here in a couple of weeks.
Operator: The next question comes from John Franzreb with Sidoti & Company.
John Franzreb: I'd like to start with Metal Coatings business. In the queue, you mentioned there was a modest increase in average selling prices. But the margin profile remains really impressive throughout fiscal 2025 when compared to '24 and '23. Can you just kind of recap what's fundamentally different this year than the prior 2 years? And maybe should we think about resetting the guardrails of the margin profile for the segment?
Thomas Ferguson: Yes.  We are considering resetting those, and we'll talk about that next year's guidance as we get our plans approved next week by the Board, hopefully. So I think this is just back to the fundamental blocking and tackling and adjacent opportunities. We've got scale, we've got capabilities, tremendous discipline around customer service and quality. Zinc efficiencies and productivity as we talk about that. We -- we've done some things using both our digital galvanizing system, but also we're able to test different alloy combinations and things like that and working with some partners that we believe differentiates us in the marketplace and allows us to maintain those zinc productivities at better than industry standards. So we now believe that's sustainable and what you're witnessing is that as we ramp these things up, it's not like we flip the switch in all 41 sites and start doing all of the positive things in all 41. So I think what's going on now is just in the vast majority sites. They're running the playbook every day. And so we're just benefiting overall given our scale across the vast majority of the business units and plants versus only having a part of that impact, say, last year at this time. So I think it's sustainable. And we've been, I'll say, on one hand, [ Fortnet ], but also it's a very dedicated effort on the team to keep people motivated, focused on the right things, train and develop leaders and have a good solid bet. So I think that's what makes it sustainable and I think we're getting close to that peak.
John Franzreb: Good to hear.  And regarding the JV income, I noticed this year kind of mirror last year where Q2 was weak and Q3 was strong. Is there some seasonality in that business? And I know you get a look see of what the order book looks like in the year ahead. Does everything looked pretty sustainable on a go-forward basis?
Thomas Ferguson: Yes.  I think you nailed it. They always had some seasonality because of that WSI, the Welding Solutions portion of the business. That's really only busy 2 seasons during the turnarounds. But the electrical, they've got a very, very good backlog. And of course, I always tell people to look at how [ Powell ] is doing to understand how AVAIL's electrical business is doing. So they've got really, really strong backlogs going into this year. They're on a calendar reporting year. So they've finished their year and I can say they finished it well. So -- and their backlogs are strong on that electrical piece, and we are encouraging our partner that we think that they've gotten a lot of value out of this business. And a good time to look at potentially transacting it over the next 12, 15 months, whatever. So because we think while there's some long-term positive trends, they've also done a nice job using their [indiscernible], former [ McKinsey ] consulting techniques to drive the margins and improve processes. So we think it's -- the business is in really good shape going into 2025. And while we like it and we like the performance, we also think that they kind of reached a good performance level to look at potentially transacting some of that.
John Franzreb: Got it.  And I guess one last question. Where do you stand in combine where you stand on fulfilling the balance of the plant in Washington besides the primary customer?  How does that look?
Thomas Ferguson: That looks really good. I think we've been chasing some opportunities to -- that would fill the balance of that. And keeping in mind, this is a brand-new plant that kind of marries up to the existing St. Louis container plant that has 2 lines already. So this is -- we've got opportunities. We've got, I hate to call it backlog because we don't really have backlog, but we've definitely got opportunities and the customer that we're partnered with is focused on helping us get the line certified, getting it ramped up in the first quarter, getting it to nominal production levels as quickly as possible but also bringing in other kinds of business and moving that between the St. Louis and the Washington facilities as we optimize capacity, so to speak. And so we feel real good about that. And it's a big facility, complex facility. So there's always the potential for start-up issues, but boy, the team has been so focused and so disciplined in the last few months and hitting their milestones and working with the suppliers to get things ramped up. I won't say without a hitch because there's always things that go on. But I've started up a lot of factories in my career, and this one is going very well right now. So we're really excited as we enter the year.
John Franzreb: That's great to hear. And congratulations on another good quarter.
Thomas Ferguson: Thank you.
Operator: The next question comes from Mark Reichman with NOBLE Capital Markets.
Mark La Reichman: You already hit on some of the drivers for the strong performance in each segment during the quarter. But what would you consider normalized growth rates for each segment ex new builds and acquisitions?
Thomas Ferguson: Yes, I think we've always talked about ourselves as a GDP level growth business that balancing, protecting margins with growth is something that I think both teams are very disciplined about. So you look at basically underlying GDP growth and then as we can drive conversions, drive new applications, drive opportunities, then we can exceed that a little bit. And then the bolt-on acquisitions just hopefully continue to give us new opportunities to drive synergies and drive our playbook through. So -- but generally, yes, we're a GDP business. We follow that because we follow construction activity, so when construction activities is good. I will say that right now, and David talks about this a lot, for the next few years, we should be able to exceed that because a lot of the infrastructure spend that has to occur, whether it's transmission, distribution, whether it's the green energy build-out, whether it's pipelines and things like that, those are all chip plants reshoring. So I do think over the next 3, 4, 5 years, we should be able to exceed that GDP level growth nicely because of these prevailing tailwinds that we have. So we're in a really good spot in terms of timing.
Mark La Reichman: Is there any difference between the 2 segments and the way that you think about, one, exceeding GDP growth and whatnot? Or I mean, in terms of they're not going to be growing at the same rate. Just [indiscernible].
Thomas Ferguson: Great question.  Metal Coatings is more focused on infrastructure overall. So as that kind of spend occurs, then they will be the beneficiaries of that more so over the next few years. I think on the Precoat side, it's the overall construction activity, which is 75% of their demand. So you kind of look back to -- that's going to follow residential, commercial, industrial, construction, some of which is related to infrastructure, some of which is more related to the general economy. So that's how you can differentiate the two.
Mark La Reichman: Okay.  And then just a second question. Just with respect to publicly funded projects. Could you elaborate a little bit on the fiscal policy dynamics at the federal state or local levels and kind of how they impact your business? And are there any cross trends between the three?
Thomas Ferguson: I think generally, I'll let David add on to this. But generally, when it comes to public projects, so you're looking at bridges, highways, roads, things like that, that water projects, it's a longer process just for approvals going through the environmental impact studies, and that's whether it's local, state, federal. I think the biggest thing we run into and what usually slows public projects up, is the cross requirements between the 3, any one of which can slow a project up while it goes through an additional level of review, so if there was anything the new administration could do to streamline permitting and that process review on these public projects, particularly that have federal funds attached to them, obviously, that would help a lot because these things just get hung up for a long time before you actually call it shovel ready, so to speak. But David, if you want to add to that?
David Nark: I would only add, Tom, that as you think about some of the spending that's been out there for several years now with [ IIJH ], [ Chipset ] and IRA that certainly has primed the pump for a lot of these projects that ultimately some of them fall within the public sector. But I think whether it's public sector or private sector, we feel, again, really good about the opportunities ahead from both of those segments as a result of that spending. And again, as Tom said, hopefully, the new administration free things up a bit so that permitting and planning gets streamlined and these things can come to ground quicker.
Operator: The next question comes from Adam Thalhimer with Thompson, Davis.
Adam Thalhimer: Congrats on the Q3 beat. I guess the question I've got in most this morning is on the revenue guidance. And I was curious, were you trying to imply that there's a potential for a revenue decline year-over-year in one of the segments? And if so, where could that occur?
Thomas Ferguson: I mentioned the choppiness that as you -- some of these projects are dependent on both the cost of the capital, but also tariffs could impact supply cost of steel. So you now have some projects, the escalator clauses are being negotiated. And that just sometimes slows things up. It doesn't make the project go away, so to speak, but it can delay it. And so what our concern as we just looked at the fourth quarter was if that continues as it seems like it is. And then it just has a slowing effect on the revenue in the quarter. For us, that's not necessarily a terrible thing because we adjust shifts, we adjust our variable cost structure. So it doesn't affect our profitability is as much as it affects our top line. So that's the only concern. It's not that the market activity is not there. It's just that the timing of when does it move forward? And does it fall within us getting to paint metal and ship it and galvanized steel and ship it. So that's all that's related to.
Adam Thalhimer: Okay.  And then just a quick one on the Washington plant. What's the -- I know there was a portion of the plant that was contracted to kind of the anchor customer. What's the process for filling up the rest of the capacity. Like when that plant starts up, you start with the anchor customer and then later in the year fill in extra capacity.  How does that work?
Thomas Ferguson: Yes.  Actually, we've -- and I mentioned the St. Louis plant already having demand on it. It's an operating container facility just with 2 smaller lines. So our ability to move business between those 2 plants and provide demand for the new plant, we've got that capability. And of course, the current St. Louis facility services, both the partner which, by the way, is try arrows. But so it services the partner, but it also has other customers that is services. So our ability to ramp up that other 25%, I think it's more going to be around our caution of working with the partner where we've made the commitment. We want to make sure we take care of them and they're the ones committed to helping us get it certified and everything lined out. So in the early phase, we'll be a little cautious to not get too far out over our skis in terms of our ability to produce. And then as the year wears on, we'll start to bring in other customers to fill demand opportunity or demand things. So I think that's how we -- how I'm looking at it at this point.
Operator: The next question comes from [ Daniel Rizzo ] with Jefferies.
Unknown Analyst: I was just wondering. So you talked a lot about investor spend and how important that is. I was wondering how much of a tailwind it could be if there is cyclical recovery in private spending on things like commercial construction, what that's meant to you guys in the past and what do you expect going forward?
Thomas Ferguson: Yes, that's been a significant. If we got a recovery in that sector that -- yes, we go from 65%utilization up to 80% utilization, those kinds of things. It can have a very positive impact on us. So we'd love to see it, we'd love to see it sustainable. And it tends to be -- those tend to be really good kinds of projects for us. So where our capability is our ability to -- this is more on the Precoat side, to provide different color combinations to basically give them to fill more specific needs versus more general needs, I think is a real positive.
David Nark: Yes.  I think the only thing I would add is some of those sectors that have been down really kind of all year like warehouse, commercial and office spending areas. If those were to rebound, that certainly can provide a nice tailwind for us.
Thomas Ferguson: And we'd see it pretty quickly. That's the other nice part those checks tend to move fairly fast.
Unknown Analyst: Meaning they think it's open. I mean, as little as a quarter? Or does it take like 6 months? Or how should we think about it?
Thomas Ferguson: Yes, I'd call it 1 to 2 quarters versus some of the public stuff that can take 1 to 2 years.
Unknown Analyst: And then just on your kind of capital allocation strategy. So I know debt reduction remains a focus. Certainly speaking, I mean, have share buybacks been a big thing? Or do you kind of just do it to offset dilution?  Something that...
Thomas Ferguson: [indiscernible] or a portion of the dilution. And we would look at that as we look at our share price valuation, and look at the benefit of continuing to reduce debt. We're also going to balance it versus or any acquisitions potentially actionable within the next quarter. And then we taking a look at our dividend as well because we haven't touch dividend.
Unknown Analyst: I lost you guys.  I don't know if you can hear me, but thank you.
Sandra Martin: Operator, can you still hear us?
Operator: Yes, I hear you.
Thomas Ferguson: Okay.  Good.
Operator: Our next question is going to be from John Braatz with Kansas City Capital.
Jon Braatz: Tom, and maybe, David, you can chime in and sort of a follow-on with the previous question. But when you look at your end markets, how much of your business -- how much I mean your customer base is more sensitive to interest rates and interest rate movements. Obviously, we've seen interest rates move up a little bit. How much might be -- how much of your business might be affected by -- by rates continuing to go up.  Any thoughts?
Thomas Ferguson: I don't think it's that much. I think most of these projects are not viability sensitive to 25 bps or so, I think the long-term trend as long as interest rates as you look at the forward curve and it's -- as long as it's going to be trending down, then I think that projects move forward now and particularly when it comes to infrastructure and things like that. What I do think it does is they start to look at it can change the rate of return and does that move it out a little bit and does it just delay and cause them to have another review cycle before they approve it. So I see an effect in timing, and that's why we were a little bit more uncertain about the revenue for the fourth quarter just because these things that we thought might have been moving forward, might just push into the first quarter as they try to get the interest rates tied down and they try to get their funding at whatever price point they're trying to get it fixed at. I think the tariffs probably create a little bit more uncertainty because that have a bigger cost impact on a project. If steel costs moved up 10%, 15%, that can have a significant impact on a project as well as steel availability, not that there's a likelihood of that in the longer term, but in the short term, it can move it around. So I think those are the kinds of things that are causing some -- I've been calling it choppiness, but it's chopping in the decision-making on moving projects forward. So I think interest has a minor effect. I think as the tariffs get buttoned down and they see what happens with that and the reaction to it, that, that starts to give everybody more confidence that you don't have to have these significant price escalators in to account for it.
Jon Braatz: Okay.  Okay.  Secondly, when you think -- when you look forward into 2026 and you look at the zinc cost environment, any pluses or minuses as we head into fiscal 2026 on the zinc front?
Thomas Ferguson: Yes.  I mean zinc LME has continued to trend up. And so that -- as you know, that has effect on the cost in our kettles 6 to 8 months out. We tend to adjust, we talk about value pricing and everything like that. But obviously, when zinc costs because it's single largest component of cost on galvanizing. When that trends up, the competitors tend to trend up their prices as well. So yes, it's a factor. Obviously, we can calculate that and do every month as we see the only prices move and factor that into what our cost is going to be in our kettles 6, 8 months out. But that also gives us time to adjust our value proposition and adjust price expectations. So we're not viewing it as a when it's moving up like this, which is relatively slowly, call it, almost sort of steady. This is actually a good thing. When it really starts to balance, that's when you get into surcharges and all sorts of things that just create a lot of uncertainty. So right now, this is not -- we don't view this as a terrible thing. It's kind of a good thing.
Jon Braatz: Okay.  One last question.  One of the first things Trump is going to do is he's going to try and the moratorium or the pause on LNG permits. And I don't know how successful he's going to be. There's probably going to be some court challenges. But singularly, can the LNG renewal rebirth, if you want to call it, does that have a positive impact on your galvanizing?
Thomas Ferguson: It's your [indiscernible] because when you -- especially when we look kind of through the Southeast, a lot of galvanizing capacity came online with the expectation that was going to occur. Some of that capacity has gone away. Some of it has been acquired, some of it has been closed. But there -- you look through the where those terminals would go in, we've got galvanizing sites pretty much in the backyard of each one of them. So yes, that would be a nice positive. And and would help the overall market, particularly through that Southeast Texas quarter.
Jon Braatz: Well, we'll see what happens.
Thomas Ferguson: We will see what happens. So we would view that as a positive.
Operator: The next question is a follow-up from John Franzreb with Sidoti & Company.
John Franzreb: Yes.  Just some thoughts on M&A. You said you might start to reengage as it pull down leverage. I'm curious if that's limited to the galvanizing side? Or are there opportunities that you'd explore on the paint side of the business. And so can you kind of just give us some examples?
Thomas Ferguson: Yes.  I think, obviously, we're looking for the one-off bolt-ons for galvanizing. We look if any of the multisite deals came active again. We'd be right in the front of the line for those. Those are slam ducks that if we get them at a reasonable price, we run our playbook and bring them up to our fleet margins and everybody is happy. If we almost view it as organic growth. On the Precoat side, they're going to tend to be bigger because you're -- well, you think about it we invested $125 million in a new line, which obviously that's on the high end of the high side of the scale. But still, you're looking at bigger -- even a one-off site is going to be fairly significant. There are some opportunities out there. We still view it as bolt-on for Precoat just like we view it as bolt-on. So leverage the G&A infrastructure, run the playbook, improve operating performance, take care of customers. So same kind of playbook as we're looking at it. But so yes, those are on our radar screen [indiscernible]. But there's not many of them.
John Franzreb: Congratulations again.
Operator: The next question comes from Timna Tanners with Wolfe Research.
Timna Tanners: I wanted to just ask a little bit about the competitive landscape. So I know that you've been referring to some market share gains in recent quarters. Are there more opportunities for market share gains? Or has that competitor started to try to claw back any of that lost market share? Any update there, please?
Thomas Ferguson: Yes, a couple of things.  Great question.  On the galvanizing side, it's the typical players out there that either are adding some capacity or buying up capacity that -- so you've got the Valmont and Hill & Smith, which in the U.S. operates as BNS the multisite folks we talk about. There's a couple of kettles coming -- I mean it's not abnormal. It's kind of like every year, there's a kettle or 2 coming online, and we're kind of seeing that continue which also is why we usually want to go be buying something to match that. I think that's all in line with the expected demand growth and normal economic growth in the marketplace. For us, it's more around where does that kettle go in? Does it go in where we've already got several plants? Or does it go into kind of the open space where we don't have much. So -- or is it for internal capacity that's being added. So not a lot of change there. Just like I said, I think 2 or 3 new kettles coming online this year, which is not abnormal. And on the Precoat side, it's the SDIs and folks like that, that are adding a paint line to their mill capacity, I'd say it's relatively normal. There's a couple of lines coming on this year or expected to come online this year. It does not fundamentally change the supply/demand. And for the most part, it's going -- these lines are being added where they're adding capacity themselves, so to paint their own capacity to a great extent. We're not seeing -- I don't -- on the Precoat side, I don't think we're seeing anything on the independents coming in. So and if anything, we're seeing lines either slowing down or -- and then we're still out trying to get customers to de-vertically or unconvert I guess and let us paint instead of their running a 50-year-old line or 30-year line. So I think the market dynamics have shifted a whole lot, David, or Jason, if you want to add something to it, particularly on the Precoat side.
David Nark: I don't think, again.
Timna Tanners: So with the additional paint lines, you mentioned at SDI and the additional other capacity or attempts to regain [indiscernible], so do you think there'll be corresponding additional demand to balance that? Is that what you're saying?
Thomas Ferguson: Yes, that's how we're looking at it. And particularly, one of the impacts of the tariffs would be that if less painted steel is being imported, then that -- those paint lines are going to be necessary to paint the steel being manufactured here in countries. So that would just accelerate the use of that increased capacity.
Timna Tanners: Helpful.  And then as far as exports, like if exports were also restricted in line with the U.S. MCA tariff structure, how would you think about that impact?
David Nark: I think as you look at the exports, if we're going to see more exports it's going to help our galvanizing side, but also on the Precoat side, depending upon the type of product that's coming out and what it's intended end use is. We've got a lot of customers in certain key markets that are using prepainted steel today. So we view that positive.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Tom Ferguson for any closing remarks.
Thomas Ferguson: All right. Thank you. Thank you, everybody, for joining us. And hopefully, you've -- you are now as excited as we are about our future for the balance of this year, going into next year, and we look forward to issuing our guidance for fiscal 2026 and talking to you after we finish out fiscal 2025 in a couple of months. So thank you for joining us, and we look forward to talking to you next time.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.